Operator: Good morning. Thank you for joining us today to discuss Consolidated Water Company's Second Quarter 2025 Operating and Financial Results. Hosting the call today is the Chief Executive Officer of Consolidated Water, Frederick McTaggart; and the company's Chief Financial Officer, David Sasnett. [Operator Instructions] Before we conclude today's call, I'll provide some important cautions regarding the forward-looking statements made by the management during the call. I would like to remind everyone that today's call is being recorded, and it will be made available for telecom replay. Please see the instructions in yesterday's press release that has been posted to Investor Relations section of the company's website. Now I would like to turn the call over to Consolidated Water CEO, Frederick McTaggart Magat. Sir, please go ahead.
Frederick W. McTaggart: Thank you, Steve, and good morning, everyone. Thank you for joining us today to discuss our financial and operating results for our second quarter of 2025. As mentioned in our press release issued yesterday, our diversified water business model, encompassing regulated utility, O&M services and manufacturing performed well this past quarter with total revenues increasing by 3% and fully diluted earnings per share from continuing operations increasing by 23% compared to the same quarter of last year. The retail and manufacturing segments, in particular, reported quarter-over-quarter revenue increases of 6% and 33%, respectively. Retail water sales in our exclusive utility service area in Grand Cayman were higher than the previous year, primarily due to reduced rainfall during this past quarter. Manufacturing revenue and operating income rose due to increased production and higher margin products. Recent tariffs enacted by the United States government have not materially impacted our manufacturing business. Our Caribbean-based bulk water segment revenue declined slightly this past quarter due to lower fuel pass-through charges However, bulk profitability rose both in dollar terms and gross profit percentage as a result of improved plant efficiencies and reduced operating costs. Our services segment revenue decreased in the second quarter of 2025 compared with the previous year, largely due to the completion of the pilot plant testing phase of the Hawaii project, which resulted in a decrease in project expenditures pending commencement of the construction phase of the project. This reduction was partially offset by higher revenue from recurring operations and maintenance contracts in both California and Colorado. In April, the Honolulu Board of Water Supply or BWS, our client on our multiyear seawater desalination project in Hawaii approved our pilot test reports and recommendations and concluded that the desalinated water we produced during the piloting phase is a reasonable match to their existing water supply. And further that desalinated water from the new plant would not cause any detrimental impact to their distribution pipes or customer assets. So this significant milestone in the project paves the way to begin construction once final design approval and the requisite permits have been obtained. In June, we submitted our 90% design for the project to BWS and very shortly afterwards received comments from their engineer and various consultants. We are currently addressing these comments and plan to submit our responses shortly in keeping with the project schedule. So that should advance the design process. We presently expect to begin construction of this project early next year once BWS issues a notice to proceed with construction. And on a cautionary note, some of the permits required before construction can start must be obtained by our client and are therefore, outside of our control and delays in obtaining any of these permits could also delay the construction start date. The construction phase of the Hawaii project is expected to generate the largest portion of revenue from this project and once commenced, will be a major growth driver for our Services segment in 2026 and 2027. Now before getting more into recent developments and our outlook for the year, I would like to turn the call over to our CFO, David Sasnett, who will take us through the financial details for the quarter.
David W. Sasnett: Thank you, Rick. Good morning, everyone. Thank you for joining us today. I'll go through the numbers, some of the numbers which Rick mentioned earlier in more detail here. Our revenue totaled $33.6 million for this quarter, which was up 3% from the second quarter last year, and this was due to revenue increases for both our retail and manufacturing segments. Our retail revenue was up $456,000 due to a 7% increase in the volume of water sold, and we attribute that volume increase to lower rainfall amounts on Grand Cayman for the second quarter of this year as compared to last year. Our bulk segment revenue actually decreased slightly to $8.3 million, but this was due to a decline in energy cost for CW-Bahamas that reduced the energy pass-through components of the water rates that we charge. Our Services segment decreased -- revenues decreased by $474,000 due to plant construction revenue that decreased from $4 million in the second quarter of last year to $2.8 million in the second quarter of this year. And this decrease in construction revenue was a result of a $1 million increase in the revenue we recognized for the Hawaii project. This was due to the completion of the pilot plant testing phase of the project, which resulted in a decrease in project expenditures pending commencement of the construction phase for the project. Recurring services segment revenue generated under our O&M contracts totaled $8.3 million in the second quarter of this year, which represents an increase of 17% over the previous year. Both PERC and REC, our Colorado subsidiary, increased their O&M revenue in this second quarter as compared to the second quarter of 2024. Our manufacturing segment revenue increased by $1.3 million or 33% to $5.2 million from the second quarter of last year as a result of increased production activity. Gross profit for the second quarter of 2025 was $12.8 million or 38% of total revenue as compared to $11.6 million or 36% of total revenue in the second quarter of 2024. The increase in gross profit, both in dollars and in terms of gross profit percentage was due to increases in the retail and manufacturing segment as well as decreased relative to operating costs for our bulk segment. Net income from continuing operations attributable to Consolidated Water stockholders for the second quarter of 2025 was $5.2 million or $0.32 per diluted share. This compares to net income of $4.2 million or $0.26 per diluted share in the second quarter of 2024. Including our discontinued operations, net income attributable to Consolidated Water stockholders for the second quarter of 2025 was $5.1 million, which represents a return of $0.32 per diluted share as compared to net income of $15.9 million or $0.99 per diluted share in the second quarter of 2024. This decrease in net income and EPS from 2024 to 2005 was due to our discontinued operations as we recognized a gain on the sale of the land and project documentation for our discontinued project in Mexico that totaled $12.1 million in the second quarter of last year. Turning to our balance sheet. Our cash and cash equivalents continued to grow to total approximately $112.2 million as of June 30, our working capital was $137.4 million as of that date, and our stockholders' equity grew to $216.6 million. Our projected liquidity requirements for the balance of this year include capital expenditures for our existing operations of approximately $85 million. This includes $1.5 million to be incurred in 2025 for new desalination plants to be built for the Water and Sewage Corporation of the Bahamas on Cat Island and $700,000 for the expansion of Aerex's manufacturing facility, which is almost complete. We increased our quarterly cash dividend and declared a dividend of $0.14 per share for the third quarter of this year. This third quarter dividend of $0.14 per share represents an increase of 27% from the previous dividend of this year. And we paid out approximately $2.3 million in dividends in July. Our future liquidity requirements may also include quarterly dividends as such dividends declared are by the Board. And we continue to evaluate how to best utilize our large cash balance and ample liquidity to increase shareholder value. And this completes our financial details for the quarter, and I'll turn the call back over to Rick. Frederick W. McTaggart Thanks, David. So earlier this year, we completed an expansion of our West Bay seawater desalination plant to meet growing demand for water in our Grand Cayman utility service area. This expansion added an additional 1 million gallons per day of desalinated water production capacity to the already existing 1 million gallons of daily production capacity that was commissioned only 2 years ago. To keep pace with growing demand over the next 2 to 3 years, we plan to construct additional water storage at our West Bay site as well as build new water production and storage on land. We are in the process of purchasing located at the southern end of our service area in Grand Cayman to keep pace with demand growth. Enabled by an exceptionally strong balance sheet, we will continue to invest in these new assets and long-term projects, including the new desalination plants on Cat Island and the Bahamas, which we expect to complete later this year. These investments, which are needed to meet the growing water needs of our customers in the Cayman Islands and the Bahamas are expected to ultimately support future revenue growth in both the retail and bulk segments. Our manufacturing business has stabilized as promised, and we believe that we have successfully mitigated revenue and profit variability in this business segment going forward by broadening our product and client base. A meaningful part of our manufacturing revenue is generated by water purification and other equipment that we fabricate for the nuclear power industry. We have been ASME NQA-1 certified by 2 large nuclear industry players for many years and have been cleared by a third potential client to go through the requisite audit process needed to obtain a third ASME NQA-1 certification. Given the recent strong interest in nuclear power solutions to meet growing demand for 24/7 electrical power in the U.S., we are hopeful that our unique manufacturing qualifications will provide opportunities to further grow our manufacturing business through this important sector. During the quarter, we substantially completed construction of an additional 17,500 square feet of manufacturing space at our Fort Pierce, Florida facility and expect to occupy the new space later this month, subject to final inspections and permitting. The additional space will allow us to take on more simultaneous and larger projects thereby increasing our throughput capacity. REC, our Colorado subsidiary continues to perform well with quarterly revenue up more than 17%. Earlier this year, we entered the Colorado design build market by winning our first construction contract in Lochbuie, Colorado. This $4.5 million drinking water plant expansion, while relatively small in comparison to some of our recent design build projects, is a great start and helps us to pursue larger design build opportunities in Colorado. In addition to Colorado, the Arizona market continues to present significant opportunities for future design build projects. Our team is currently engaged in multiple preliminary discussions with potential clients and recently submitted 4 customized design reports or CDRs, as we refer to them, to residential developers and industrial clients near Phoenix. Similar to the Liberty Utilities project in Arizona, we believe that some or all of these CDRs will ultimately lead to design-build contracts for these important wastewater treatment facilities in Arizona. We're confident that our award-winning designs, cost-efficient delivery models and extensive industry experience will help us win upcoming projects. Our decision to diversify beyond the Caribbean seawater desalination market many years ago has been successful and positions us for continued growth. We now have a diverse portfolio across 4 business segments, delivering consistent value to shareholders through strategic acquisitions over the last decade. As we finish 2025 and look ahead, we expect these positive factors to sustain steady long-term growth, enhance profitability and increase shareholder value. Now with that, I'd like to open the call up for questions.
Operator: [Operator Instructions] The first question comes from Gerry Sweeney with ROTH Capital.
Gerard J. Sweeney: Congrats on a nice quarter. I don't have too many questions, but other than maybe some higher-level understanding of maybe the market opportunities and to segment them into, let's say, the Caribbean and then sort of U.S. On the U.S. front, PERC and REC, how is that pipeline developing? Obviously, a lot of talk in the West and Southwest about water, water scarcity and et cetera. And I think the market was hotter, then maybe some lead times got extended, but I'm just curious what the pipeline is looking like? And what are your thoughts on just the market tenor in general?
Frederick W. McTaggart: Well, on the wastewater side, certainly, we're seeing continued interest. And as I mentioned, in these projects generated by developments and small industrial projects that we've been pursuing through these customized design reports. So I mean, these projects could range anywhere from sort of $10 million to $30 million in size It would be design build jobs for wastewater treatment plants. So the Phoenix area continues to grow there, and they continue to need wastewater treatment solutions. On the California side, I mean, it's been mostly O&M contract renewals and opportunities there, not much happening on the design build side in California at this point.
Gerard J. Sweeney: Got it. And Colorado, what's that market look like? Obviously, you had that small design win at $4.5 million one, but does a win in the state create a little bit more opportunity for you guys?
Frederick W. McTaggart: Absolutely. I mean it gives us a good base. We knew the client at Lochbuie through many years operating their wastewater plant there. So there's other opportunities. There's a lot of small towns and areas north of Denver that require upgrades, expansions to their wastewater and water treatment facilities just because of natural growth around that area. So we see a number of similar opportunities to Lochbuie.
Gerard J. Sweeney: Got it. Switching gears to the Caribbean. Obviously, the Cayman is getting nice, consistent growth there. I mean, I think evidenced by the expansion of your West Bay plants. Maybe 2 questions. Bahamas, they seem to be -- I think in previous conversations, the way I described it was a little bit water constrained and at some point, they'll have to do something. So maybe opportunity in the Bahamas and then any other opportunities throughout the region.
Frederick W. McTaggart: Yes. I mean, I think you covered it. We're very focused just on the Cayman Islands market and the Bahamas at this point in the Caribbean. The Bahamas, we're building these 2 plants on Cat Island, which is our first contract outside of New Providence, Nassau for water supply. We're very excited about that. So we want to get those wrapped up and see what comes next because there's certainly needs throughout the Bahamas for additional water supply. We hope that they talk to us about that.
Gerard J. Sweeney: Got it. One last question. Manufacturing, you highlighted the expansion of the Aerex facility in Fort Pierce. Just curious, does this expansion open up? It sounded like -- maybe let me take a half a step back. It sounds as though maybe you were space constrained, and maybe this limited the number of jobs and the size of jobs you could go after. Does this expansion open up a larger market and maybe a different layer or different opportunity for growth?
Frederick W. McTaggart: Yes. Absolutely, Gerry. I mean the -- when you're building these big pieces of equipment, you got to have somewhere to put them, right? So what this is going to do is free up our shop floor for higher throughput on the actual fabrication side, and we'll be able to put some of these larger pieces of equipment over in the warehouse and do complex assembly work and that sort of thing on water treatment skids in the warehouse area, and we won't be taking up the welder space and all that sort of stuff in the shop. So we definitely think it's a big plus for the facility, and it will ultimately allow us to generate more revenue from that business because of the additional space.
David W. Sasnett: It absolutely increases our capacity, Gerry, and that's something we needed given what we think is going to happen with the business in the coming years.
Gerard J. Sweeney: Yes. Biggest growth driver in the manufacturing Aerex side, is that -- I mean, nuclear has definitely gotten a lot of attention lately. But what is maybe some of the drivers behind Aerex?
Frederick W. McTaggart: Well, as I mentioned, we have a very diversified business there now. I mean the nuclear work obviously plays a big part of it. There's a lot of -- Aerex is very well known in Florida, and there's a lot of new municipal work for water treatment plants, membrane treatment plants going on in the Florida area. So we've been busy bidding some jobs, some nice sized jobs here. And then we're -- we always have the pipe fabrication business, which can run the gamut of high-pressure piping for membrane plants to just stainless steel piping -- large stainless steel piping for wastewater plants. That continues to be a good base for our revenues in the Aerex business. So it's really the nuclear, the municipal and the pipe that is keeping us quite busy right now.
Operator: [Operator Instructions] The next question comes from John Bair with Ascend Wealth Advisors.
John H. Bair: I wanted to circle back on the nuclear. And is this business that you're addressing primarily domestic? And do you have any international opportunities with supplying product or material to other plants?
Frederick W. McTaggart: The customers are all domestic. Some of the final products are going overseas. But just one product that we actually make is -- 2 products are going overseas. But all of our customers are domestic customers.
John H. Bair: So is there opportunity or do you see opportunity to expand this for international? Because internationally, they're looking at increasing nuclear capability as well. So just kind of curious how that trend is playing out.
Frederick W. McTaggart: Yes. So I mean, just, John, so you understand, we're not selling directly to the clients. I mean we're qualified by companies that they're nuclear solution companies, so we're doing fabrication work for them. So we're not selling directly into the facilities or the end users. So -- I mean, they -- these clients do work overseas. And if they need us to do some fabrication work for them, we're certainly qualified to do that. But I can't really say that we're pursuing international work because of the arrangements that we have with our customers. We don't serve the end users in this market.
John H. Bair: Okay. Okay. Fair enough. And then is a lot of this addressing like retrofit or upgrade as opposed to actual new builds?
Frederick W. McTaggart: I'm not aware of any new builds. This is water treatment equipment for existing facilities.
John H. Bair: Maintenance. Okay. And can any of this apply towards the smaller -- the SMR market that seems to be gaining some interest?
Frederick W. McTaggart: It certainly could, yes.
John H. Bair: Okay. All right. And then I wanted to ask another area. Are you seeing more interest or bidding opportunities for -- based on reshoring of manufacturing across the geographic U.S., not just necessarily in the West Coast or elsewhere? Is -- do you see opportunities there?
Frederick W. McTaggart: We have not been involved in anything like that yet. I can't say that that's been an area that we see opportunity in at the moment.
John H. Bair: Okay. And then another question on future CapEx needs for existing installations, upgrades or replacement. What do you see in that regard?
Frederick W. McTaggart: Yes. Let me just jump back one second here about the onshoring manufacturing. We're -- one of the things I just want to explain to investors, the -- so we don't have like a product line that we can market to engineering companies and those sorts of groups that design these large plants. I mean we're more of a custom shop, particularly with Aerex. We are looking at potentially developing some standardized products, which will fit better with the industrial market. You can take your specs and your brochures and things over and talk to one of the big consulting engineers and they can spec it into a new chip plant or a new auto plant or whatever they're working on. So that is something that we are looking at. Now your second question about the CapEx. I mean, I think most of our asset -- new assets and CapEx expenditures are going to be in the Cayman utility just because of growth in that business, we need to build some new water storage tanks and eventually build a new RO plant on the southern end of the system there. Outside of that, it would be projects like Cat Island that are using capital right now for long-term investments.
John H. Bair: Okay. And one last question. I didn't see anything in the press release, and I haven't had a chance to look into the queue. But I know in the past, your friends in the Bahamas tend to be a little bit slow in paying their bills. What have you seen there? How has that been working out?
Frederick W. McTaggart: So we've obviously been very focused on getting that resolved. We've had a number of discussions and meetings over the last several months, and we are seeing an increase in payments coming through now. So there have been -- on the Bahamas side, there's been an undertaking to -- for some time to bring that account current, and we are seeing some progress now on that.
David W. Sasnett: It didn't show up in the Q, John, but hopefully, when we report the next quarter's results [indiscernible] that's favorable.
Operator: [Operator Instructions] The next question comes from Matt with Western Standard.
Unidentified Participant: Couple of questions here. My first is the real standout for me was the gross margin on the manufacturing side of the business. Can you talk about that a little bit, whether -- what was really driving that?
Frederick W. McTaggart: I mean it's pretty simple. I think we got some jobs that were higher margin. We were able to price them better. And we're utilizing our resources there at the facility pretty much at peak right now for that -- for the size of the facility that we have. So we were very busy. There wasn't any downtime during the quarter, and we were able to get better pricing on some of these projects that went through the shop.
David W. Sasnett: But Matt, we've also focused -- it's been a strategic initiative of ours to focus on the higher-margin projects to begin with. And I think our people involved in sales in our manufacturing segment are really focused on that and been more aggressive going after some of the higher-margin jobs. But just like Rick said, facility itself is very efficient. It's operating pretty close to capacity and that fixed overhead gets spread out over a much larger amount of revenue and margins go up. So it's both sales and productivity.
Frederick W. McTaggart: But keep in mind, I mean, when we get this new building online this month, that's going to change the game. I think that will significantly increase the capacity of that facility.
Unidentified Participant: Okay. Great. Is there a time period that you're hoping to fill the incremental capacity?
Frederick W. McTaggart: We're bidding on some larger jobs right now. So I mean, depending on whether we're successful or not, I mean, it will certainly be put to use as soon as we hear about some of these new jobs. I mean these are bigger municipal jobs that may take a little bit more time to go through the process, but they would certainly impact 2026 revenues if we were successful.
David W. Sasnett: Yes, they would use the all capacity, Matt, more or less. So we've got potential out there to fully utilize everything we're building very quickly.
Unidentified Participant: That's great. All right. Secondly is on the O&M revs. There was a pretty nice sequential increase there. I don't know if I missed it in your prepared remarks, but can you talk about if there was one or multiple incremental wins there? And any color on the business for the rest of the year?
Frederick W. McTaggart: I mean one of the projects that we had -- that we have -- we had negotiated a change in terms of the contract for 24/7 operation. I think that favorably impacted the revenues for that project. And then just incremental cost increases in some of the other projects. There weren't any big projects or a number of small projects that we put online. I think it's just a matter of revenue growth in a number of projects -- in a number of existing contracts, I should say, not projects.
David W. Sasnett: Yes, contracts.
Unidentified Participant: Okay. Two more quick ones. One is Hawaii. I think in the past, you talked about waiting on some permits. Are we still waiting on the same permits? Or what is remaining before we've got the green light?
Frederick W. McTaggart: Well, so there's 2 big things -- 2 big permitting issues at this point. I'll give you a little bit more detail. So there's the archeological permit that we need for the site. And we always expected that, that was going to take a long time to get. We had to do studies to ensure that we weren't going to damage any historical artifacts or areas on the site or there weren't any ancient grades or anything like that on the site. So those studies have been done, and we're just working its way through the regulator and the approval process. So we always knew that was going to take a while, and that's kind of what we've always talked about being the critical path on the permits. The second thing, I think that's very important is now that the design is essentially finished, we have to submit that to the health department there to get final approval for the water supply. And that could take some time. It may go quickly. I couldn't really tell you, Matt. But I mean, we haven't been to the point that we could do that until we finish the design, which is going to happen, I think, in the next month or 2.
Unidentified Participant: Okay. All right. Great. Lastly is the good old Bahamas receivable. I think it seems to be kind of holding the line, but is there any additional color from the government there?
Frederick W. McTaggart: Yes. I mentioned earlier when John asked the question. Although it's not reflected in the Q, we had some progress since the end of the quarter. We have an understanding with the government that they're going to make some scheduled payments there. And we're positive about the outlook for reducing that over the next month.
David W. Sasnett: This has never been an issue with them as far as whether or not we throw the money back. I mean they're very with their position that yes, they're going to pay. They don't have a problem with the invoices or anything. So -- I mean it's been [indiscernible] for a number of years.
Unidentified Participant: I'm sorry, I missed that comment earlier. The last -- I'll squeeze one more quick one in. So it's -- you've got this war chest of cash. You are about to enter a period where your cash generation may be the strongest in your company's history, right? You've also got cash coming in the door from Bahamas. So -- I mean, your cash generation is going to be pretty darn strong for the next several years. I know you've been looking at some M&A, but it seems to me like you could probably balance multiple capital allocation moves on a go-forward basis. Any thoughts around that?
Frederick W. McTaggart: Well, I mean, I'd say right now, we are actively looking at a couple of interesting M&A targets. And I can't really say how that's going to work out, Matt, but I mean, they'd be great additions to the company. So it's -- we're not just sort of generally looking. I mean, we do have some specific targets in mind, and we've had some discussions. Beyond that, I mean, there is an appetite or beginning to be an appetite in the U.S. for these 3P type projects to address some of the water shortages in the Southwest, in Texas, and we are exploring those types of opportunities as well, which with that cash in the bank, that -- I mean, in my view, that gives us a leg up on some other competitors that may not be in that position because these are longer-term capital investments in public-private partnership type projects. So we are well aware that we need to put that to work. And every day, I'm evaluating ways to do that and looking at potential M&A-type deals. So we raised the dividend last quarter, which hopefully everybody appreciates. And if we continue to generate high levels of cash from operations, then we're always reevaluating what we can do to that to return that to the shareholders.
Operator: All right. At this time, this concludes our question-and-answer session. I would like to turn the call back over to Mr. McTaggart. Sir, please go ahead.
Frederick W. McTaggart: Thanks, Steve. Just thank everybody again for joining us today to discuss our results, and we certainly look forward to speaking with you again to go over our third quarter results in November. Thanks, everybody.
Operator: Thank you. Before we conclude today's call, I would like to provide the company's safe harbor statement that includes caution regarding the forward-looking statements made during this -- during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to statements regarding the company's future revenues, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrase usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industries and market related to its business. Any forward-looking statements made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, tourism and weather conditions in the areas we serve, the economic, political and social condition of each country in which we conduct or plan to conduct business, our relationship with the government entities and other customers we serve, regulatory matters, including resolution of negotiation for the renewal of our retail license of Grand Cayman, our ability to successfully enter new markets and various other risks as detailed in the company's periodic report filings with Securities and Exchange Commission, SEC. For more information about risks and uncertainties associated with the company's business, please refer to the Management Discussion and Analysis of Financial Condition, our Results of Operations and Risk Factors section of the company's SEC filings, including, but not limited to, its annual report on the Form 10-K and quarterly report for Form 10-Q. Any forward-looking statements made during the conference call speaks as of today's date. The company expressly disclaims any obligation or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statement is based, except are required by the law. I would like to remind everyone this call is available for replay starting later this evening. Please refer to yesterday's earnings release for dial-in replay instructions available via the company website at cwco.com. Thank you for attending today's presentation. This concludes the conference call. You may now disconnect. Thank you.